Operator: Good day. Thank you for standing by and welcome to the NanoString Third Quarter 2021 Operating Results. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I'd now like to turn the conference over to Doug Farrell, Vice President of Investor Relations. Thank you. Please go ahead.
Doug Farrell: Thank you, operator. Joining me on the call today is Brad Gray, our President and CEO; and Tom Bailey, our CFO. Earlier today, we released our financial results for the third quarter of 2021. During this call, we may make statements that are forward-looking, including statements about financial projections, the impact of the COVID-19 pandemic, future business growth, trends and related factors, prospects for expanding and penetrating our addressable markets, our strategic focus and objectives and the development status and anticipated success of recent and planned product launches. Forward-looking statements are subject to risks and uncertainties, many of which are beyond our control, including the risks and uncertainties described from time to time in our SEC filings. Our results may differ materially from those projected, and we undertake no obligation to update any forward-looking statements. Later in the call, Tom will be discussing our financial results and 2021 guidance. We have prepared, as a supplement to GAAP financial measures, selected non-GAAP adjusted measures, the calculation of which are described in detail in our press release. Throughout this call, all financial measures will be GAAP, unless otherwise noted. You can find reconciliations of GAAP to non-GAAP measures as well as the description, limitations and rationale for using such measures in this afternoon's press release. To aid analysts and investors in building their models, we have posted exhibits under the financial information tab of our Investor Relations homepage that includes the presentation of our non-GAAP or adjusted measures and selected other financial data for the third quarter of 2021 as well as for each quarter of the full year 2020. I'd like to remind everyone that we'll be participating in the Stifel Virtual Healthcare Conference next week. We look forward to having the opportunity to speak with many of you there. Now I'd like to turn the call over to Brad.
Brad Gray: Thanks, Doug. Good afternoon and thank you for joining us today. Spatial biology is having a banner year and NanoString continues to extend its lead in this exciting market. During the third quarter, we posted record GeoMx revenue as our Whole Transcriptome Assays using next generation sequencing readout appealed to customers across both discovery and translational research. Earlier today, we unveiled our new CosMx Spatial Molecular Imager by publicly releasing a dataset and manuscript that describe the power of this platform to image the expression of almost a thousand genes and biobank samples stored as formalin-fixed paraffin-embedded tissue. Meanwhile, our nCounter franchise posted strong instrument placements while consumable revenue continued to be impacted by residual effects of the pandemic. Let me now review progress towards our 2021 strategic objectives before handing over the call to Tom Bailey to review our results and outlook. Our first strategic objective for 2021 is to extend our lead and spatial biology through the broad adoption of the GeoMx Digital Spatial Profiler. Three quarters through the year, our special biology business is right on track with the GeoMx franchise performance trending towards the top end of our guidance range for both instrument orders and overall GeoMx revenue. During the third quarter, GeoMx instrument orders grew 40% and are now on track for the full year GeoMx instrument order growth of about 50% compared to 2020. Customer interest in using next generation sequencing as a readout for GeoMx experiments is a key growth catalyst and about 75% of GeoMx instruments order during the third quarter were purchase for use within NGS readout. GeoMx consumable poll through remain strong at an annualized rate of about $95,000 per system. Our GeoMx Whole Transcriptome Atlas, or WTA assays, which were introduced during the first half of the year leverage NGS readout and are the first system-wide products that we've ever offered. In Q3, our assays for NGS readout accounted for about 75% of GeoMx consumable orders as revenue from our human Whole Transcriptome Atlas increased 70% sequentially from the second quarter. Repeat orders were strong with about half of our WTA customers already placing follow-on orders. NanoString has a strong history of serving translational researchers, who are focused on disease research and our Whole Transcriptome Assay is really no exception. In fact, about half of the translational researchers, who originally adopted GeoMx to use with protein assays using nCounter readout are now also using Whole Transcriptome Atlas Assays with NGS readout. The WTA assays are also getting traction in the large market for basic discovery research, helping us expand beyond the translational research market that has historically represented our core focus. Mice are the most important model system for discovery research and researchers with interest as diverse as immunology, neuroscience, infectious disease and developmental biology have embraced our mouse Whole Transcriptome Assay. In the third quarter, about 20% of our GeoMx instrument orders came from customers who adopted DSP specifically for mouse Whole Transcriptome research. We're also seeing strong leading indicators of demand from discovery researchers via our technology access program, which deliver results from our record number of projects completed in the third quarter as we continued to work through a large backlog of projects that were committed earlier in the year. A full 90% of new projects were for NGS based products and mouse Whole Transcriptome Assays accounted for about 25% of new projects. In October, we unveiled the first Spatial Organ Atlas, which includes Whole Transcriptome images of key functional tissue structures for five human organs, including the human brain, kidney, colon, pancreas and lymph nodes, as well as the mouse brain, much like the cancer genome atlas and the human cell atlas efforts, we expect our organ atlas to become a reference database for spatial gene expression by organ, including both healthy and diseased tissue. We introduced the Spatial Organ Atlas during the American Society of Human Genetics or ASHG meeting last month that have been taking it on a road show ever since. These datasets can be found on the Spatial Organ Atlas page of the GeoMx DSP section of our website and interest has already driven a meaningful bump in website traffic and lead generation, as well as commitments from several external groups to extend the atlas to additional organ types. Overall, GeoMx continues to drive rapid growth of our leading spatial biology franchise and we're excited by how quickly this opportunity is unfolding. Our second strategic objective for 2021 is to expand our spatial biology franchise with higher resolution offerings by advancing the development of our Spatial Molecular Imager and seeding the market for the commercial launch that's planned for next year. Molecular imaging is shaping up to be an important new category in spatial biology. Imaging platforms measure expression of a targeted number of RNAs or proteins at the single cell or sub cell resolution. Our Spatial Molecular Imager provides the perfect complement to hold transcriptome analysis using GeoMx DSP. Perspectives held by numerous GeoMx customers, who've already expressed interest in acquiring an SMI and further collaborated and corroborated by several recent customer surveys published by a sell-side analysts. We are in an exciting period as we're beginning to reveal more details about our Spatial Molecular Imager. Let me focus on three key developments outlined in our press release that we issued this morning. First, we've unveiled the brand name for our imager, which is CosMx SMI chosen to provide a celestial complement to our GeoMx DSP brand. The CosMx brand is aspirational captures the imagination and invokes our mission to map the universe of biology. Second, we publicly released a high resolution dataset generated using the CosMx SMI highlighting the unique performance characteristics that set CosMx apart from competing imagers and allow researchers to see for themselves the power of this new platform. This first dataset includes RNA expression mapped at single and subcellular resolution within eight non-small cell lung cancer specimens. Two key attributes of this dataset contrast with data released by others in the past. First, the CosMx SMI dataset maps RNA from almost 1,000 genes, approximately twice the number of genes covered by competing for platforms. Second, this was generated using Formalin fixed paraffin embedded, or FFPE tissue samples. The compatibility of CosMx SMI with challenging FFPE samples sets it apart from competing imagers, allowing researchers to unlock value and archival samples as well as to apply the platform to clinical samples. The CosMx SMI dataset can be accessed through NanoString's website and analyzed by the research community. The complete dataset consisting of over 800,000 single cells, 260 million transcripts and a spatially resolved cell type map of non-small cell lung cancer tissue across 150 square millimeters. The data can be explored through an interactive viewer and downloaded for analysis using open source for third party informatics packages. Early feedback from luminaries in the field, who've got a sneak peak at the data prior to release, has been overwhelmingly positive. And we look forward to discussing it with the broader research community in the months ahead. Our third major revelation regarding CosMx SMI is the release of a manuscript providing details of the chemistry that powers the platform and the performance that it achieves. This manuscript, which can now be viewed in the online journal bio-archives will serve as a reference for customers considering a CosMx SMI purchase. It describes the performance of CosMx in FFPE tissue, including resolution, sensitivity and reproducibility, as well as key application to the platform such as identifying cell types and measuring cell to cell interactions. In addition to providing details on the RNA expression capabilities of SMI, the paper provides a teaser of CosMx protein capabilities, showing 81-plex protein express data in FFPE, further differentiating CosMx from competing molecular imagers, powered by genomics chemistry [indiscernible]. Together, the CosMx SMI and GeoMx DSP represent a compelling product suite that will span the continuum of applications in spatial biology. The next major event to highlight this portfolio will be our 4th Annual Spatial Summit, which we will host on Monday, February 28th, at Advances in Genome Biology and Technology, or AGBT, meeting in Orlando, Florida. This half day session will provide more details on CosMx SMI and will showcase early work from outside groups coming out of our SMI technology access program. This section will be open to the investment community and you do not need to be registered for AGBT to attend. We hope to see many of you there. Our third strategic objective is to return our nCounter business to growth dynamic seen prior to the COVID-19 pandemic. During the third quarter, our nCounter performance was mixed with strong instrument sales offset by a slower than expected recovery in consumable sales. Our strong nCounter instrument sales demonstrate the continued demand for nCounter's unique combination of simplicity, power and robustness as sales of nCounter instruments during the quarter exceeded consensus estimates for instrument sales by 25% at roughly $6 million. Year-to-date our instrument revenue was similar to the first three quarter of 2019, indicating that we are returning to pre-pandemic levels on the instrument side of our business. We continue to diversify our nCounter into new areas beyond oncology as about half of our nCounter systems were sold for non-oncology applications in the third quarter, including immunology and infectious disease. Meanwhile, the pace which our customers are publishing papers using nCounter has never been higher. Over the past 12 months, our customers have published more than 1,000 new nCounter papers, bringing the total publications enabled by our technologies to over 5,000 papers to date. Our nCounter franchise remains healthy at our customer base vibrant. That being said, slower than expected nCounter consumable sales during Q3, it looks straight the lingering impact of COVID-19 on one particular segment of our nCounter customers that is biopharma companies focused on oncology biomarker studies. An estimated 70% of nCounter users pursue oncology research by about 25% of nCounters are owned by biopharma companies and CROs. These customers typically analyze samples that have been collected during clinical trials. As the COVID-19 pandemic began, oncology clinical trial enrollments slowed. The downstream consequence of the slowdown was lower volumes for biomarker discovery studies today, which translates into slower sales of nCounter oncology panels. Let me illustrate how this phenomenon impacted nCounter consumers in the third quarter. During the third quarter, sales to academic researchers returned to more than 90% of pre-pandemic levels in North America and to approximately 80% in both EMEA and APAC. In contrast, consumable utilization by biopharma companies remains deeply suppressed at about 60% of pre-pandemic levels. The specific nCounter consumables that were most impacted were our immuno-oncology panels that are used extensively in supporting clinical trials. Pharma pull-through has not improved thus far in Q4 and it's difficult to project when pharma biomarker studies will resume at full pace. On this basis, we expect the nCounter pull-through will remain below pre-pandemic averages in Q4 recovering further in 2022. To summarize, we continue to see healthy demand in spatial biology with solid momentum and translational research and increased penetration of the discovery market. Our CosMx SMI is on track to begin shipping in the second half of 2022 and has demonstrated best-in-class RNA plex capability and unique compatibility with FFPE samples. Lastly, our nCounter business continues generates strong instrument sales offset by slower recovery than we had previously anticipated on the consumable side of the business. Now, I'd like to turn the call over to Tom to review the details of our operating results.
Tom Bailey: Thanks Brad and thanks all for joining us today. For the third quarter of 2021, product and service revenue was $36.9 million at the middle of our Q3 guidance range representing year-over-year growth of 23%. Q3 GeoMx revenue was $13 million, up 47% as compared to Q3 2020 and at the high-end of guidance we provided in August, $8.5 million was from approximately 35 instruments shipped and $4.5 million was from consumable sales. Annualized GeoMx consumables pull-through was about $95,000 per installed system in Q3. nCounter delivered a solid quarter for instrument sales with $6 million posted in Q3, 11% year-over-year growth and the second highest Q3 total ever for nCounter instrument sales. In contrast, nCounter consumables continued to be impacted by residual effects of the COVID-19 pandemic. Q3 nCounter consumables revenue was lower than expected at $13.5 million or year-over-year growth of 10% with nCounter utilization during the quarter impacted most materially in our pharmaceutical industry customers. Annualized consumables pull-through was about $53,000 in Q3. Service revenue was about $4.4 million for the quarter representing 24% year-over-year growth and was driven by GeoMx DSP TAP and increased service contract revenue from our growing instrument installed base. Turning to margins and expenses, I'll provide results on a non-GAAP or adjusted basis, which removes the impact of stock-based compensation, depreciation and certain one-time items. Please refer to our press release as well as the exhibits we have posted to our Investor Relations webpage for detailed information on how our non-GAAP or adjusted measures are prepared. Q3 adjusted gross margin was 56% consistent with our annual guidance range and about 100 basis point improvement compared to Q3 of last year. The improvement was driven primarily by growth in GeoMx DSP revenue and was partially offset by additional investments made in our manufacturing capacity and increased costs associated with providing our TAP service. Adjusted R&D expense was $16.6 million, an increase of 31% year-over-year. R&D was higher compared to the prior year period due primarily to increased personnel and product development costs related to our CosMx SMI development program. We expect R&D expense will increase through the balance of the year as CosMx SMI development continues. Adjusted SG&A expense was $23.8 million, an increase of 43% year-over-year. The Q3 SG&A expense increase was due primarily to investments made in our spatial biology related commercial initiatives, including investments to expand our sales force and our service and customer support groups, as well as costs related to licensing and implementation of new information technology solutions to support our commercial operations and finance functions. Adjusted EBITDA loss was $19.7 million and we exited the quarter with approximately $370 million of cash, cash equivalents and short-term investments. Turning to guidance, three quarters through 2021, the full year outlooks for our GeoMx and nCounter franchises have trended in different directions. Our spatial biology franchise continues to be our major growth driver with GeoMx system orders and revenue trending towards the top end of our guidance range. We now expect full year 2021 GeoMx revenue will be in the range $49 million to $50 million driven by instrument order growth of approximately 50% for the full year at the upper end of our annual guidance range. Our updated annual nCounter revenue guidance range of $91 million to $94 million is based on a continued expectation of instrument sales at approximately pre-pandemic levels and an updated 2021 full year consumables pull-through expectation of approximately $55,000 for installed system. Our updated nCounter pull-through guidance range reflects the potential impact of residual pandemic related issues on consumables utilization, similar to what was observed in Q3. At this time, we believe these residual issues can continue to impact nCounter consumables pull-through into 2022. We will offer further updates when we report fourth quarter results and provide our 2022 outlook in March. For Q4, we expect product and service revenue to be in the range of $38 million to $42 million representing year-over-year growth of 6% to 18%. This range includes $15 million to $16 million of GeoMx revenue driven by what we expect will be about 40 new GeoMx instrument orders in Q4. Our guidance range also includes $23 million to $26 million of nCounter revenue with annualized nCounter consumables pull-through in Q4 expected to be approximately $55,000 to $60,000 for installed system. Now, I'll turn the call back over to Brad for our closing comments.
Brad Gray: Thanks, Tom. In closing, our spatial biology franchise is having a banner year as we continue to extend our lead in this dynamic market and to fill our mission to map the universe of biology. GeoMx DSP instrument orders are growing 50% year-on-year and we're successfully expanding beyond our core strength in translational research and into basic discovery. As we reveal more details about our CosMx Spatial Molecular Imager, its market leading plex and unique FFPE sample compatibility are capturing the attention of the research community. Together GeoMx and CosMx create the most compelling product suite in spatial biology and promise to drive strong top-line growth for years to come. With that, we'd like to open up the line for your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Tycho Peterson from J.P. Morgan. Your line is now open.
Unidentified Analyst: Hi, good afternoon. This is Julia on for Tycho. Maybe starting with nCounter, I know you're not expecting any meaningful recovery in 4Q guidance. But like so far into 4Q, what have you observed in terms of trial activities? Just to give us a sense. And just to confirm that the entire weakness in 3Q is due to pandemic impact, meaning there is no incremental impact from the NGS readout for GeoMx.
Brad Gray: Thank you. Thank you, Julia, for the question. You were coming through a little garbled, so I'm just going to repeat back what I heard. I think you asked about whether we have seen any recovery so far in Q4 for our nCounter consumable demand and clinical trial activities from biopharma? And whether – how we're confident that this is a pandemic related impact rather than something competitive? So, first, clinical trial activity truly did slowed down in – during the pandemic. I know one research study that we saw just talked about 1,000 trials plus being slowed or paused in enrollment during the pandemic. And the downstream effects of that of course is fewer biopsy samples collected and fewer biomarker studies being run now in 2021. We have not seen a change to the actual number of biomarker studies that are being run in Q4 so far, but we do expect clinical trial activities start picking up, but remember biomarker work is kind of a downstream lagging indicator of clinical trial activity. People who haven't followed the company too long may not appreciate the extent to which our biopharma customers are an important driver of consumable pull-through. There have been many quarters overtime where that 25% of our customer base on nCounter has accounted for about 40% of our pull-through. So it's not to say that our biopharma customers are not doing a lot of business still with us. In fact, their pull through on average during the third quarter was $70,000 per system higher than our overall average. But given that in a typical pre-pandemic quarter, they may have done a $100,000 to $115,000 in average consumable pull-through even that $70,000 per system annualized in the third quarter represents not quite a full recovery to their pre-pandemic level. So that really was, we believe, the primary driver of the pull-through drop in Q3. Now, how do we know it's not a competitive issue? Well, for one, we continue to place a large number of nCounter systems. In fact, the third quarter of 2021 was the second highest Q3 instrument demand for nCounter ever. Two is there hasn't been any meaningful change in RNA seq pricing or offerings out there in recent timeframes. So we do not believe anything about the competitive dynamic has changed. It really is we believe related to clinical trial activity.
Unidentified Analyst: Got it. That's super helpful. And then on a SMI, could you guys give more color on the current TAP program order book, how many projects you're working on and what the funnel looks like? And [indiscernible] the manuscripts are you expecting to see any significant uptick going forward? And have you got any customer feedback so far that may invested [indiscernible] for launching in second half of next year?
Brad Gray: Thank you for the question, Julia. Again, you were a bit garbled, but I think you were asking overall about SMI TAP order book and some of the path from now until full commercial launch. So as we've said in past calls, the demand for SMI, CosMx SMI now, TAP projects has exceeded our capacity to manage those projects. We've so far signed up between 10 and 20 projects. We expect to end the year with more than 20 projects in motion and that really is the entire capacity that we have. Now some of those projects are beginning to yield results. We have a few posters being presented this week at the Society of Immunotherapy and Cancer Meeting. We had some on the books for the AMP meeting that's scheduled for next week. And of course we'll have a lot to show at the AGBT meeting in February. So we're really exciting to get more information out there. In terms of what's left for us to do between now and the commercial shipments in the second half, it's really taking the chemistry that we've described now into paper and wrapping up a bullet proof instrument and automation system around that chemistry as well as the software tools that are required to process and visualize and get insights from the tremendously large datasets that this instrument can produce. So really it's instrumentation and software. We look forward to having a beta program where we place some instruments at customer size in the first half of next year and then beginning shipping full commercial systems in the second half.
Unidentified Analyst: Great. Thanks for the other. I will let others hop in.
Brad Gray: Our next question operator.
Operator: Yes. Your next question comes to the line of Dan Brennan from Cowen.
Dan Brennan: Hi, guys. Thanks for the questions. Just on GeoMx, Brad, starting there, you raised the order outlook. The 50% orders were a bit stronger than we expected here. So I know you gave some color in the prepared remarks. Maybe just a little color on who's ordering. And then b) as we look at our model for 2022, we've got 20% increase in placements in GeoMx. I'm just wondering with the strength of this order book anyway to think through like how the early look is for 2022 in terms of replacement opportunity and related to that like are you gated in terms of the placement like rate that you could achieve? I know early on you guys wanted to delight customers you were limited. So, maybe a multi-part question, who is ordering and kind of any early color on 2022. Thank you.
Brad Gray: Thanks for the question, Dan. So GeoMx, as you said, the GeoMx order book has been strong. We hovered at about 30 instruments per quarter for a few quarters and we broke through in Q3 to 35 and we expect to deliver about 40 in the fourth quarter. This wave of new orders has really driven by the Whole Transcriptome Atlas and the NGS readout capability, which together are driving 75% of new instrument placements. Academic customers who span translational biology and now discovery biology represent the largest group, the vast majority of new instrument orders. The mouse Whole Transcriptome Atlas motivated about 20% or 25% of new orders in the third quarter that is truly a pure discovery set of customers. So we're delighted with the growing demand for the instruments. In terms of 2022 expectations, this year we will have grown 50% in terms of total instrument orders. Of course, we'll enter the year with a much stronger base. We're comfortable with where the street models are now at 20%. There is potential upside to that, but we would encourage you to kind of keep the models in place for now. And of course, we'll be providing guidance in the February timeframe. In terms of whether there's anything that's gating our ability to fulfill orders, the answer right now is no. I mean, we have the inventory to ship instruments. We have had no supply chain challenges. That being said, we are with the ongoing pandemic precautions that are being taken at many customer sites. We are a little slow to bring some sites up. So, it does take a while for us to get those instruments installed and trained sometimes as much as a couple of three months to get through all of that work while still respecting the protocol that many of our customers have in place for having NanoString employees onsite. But there is really nothing in terms of our own human capital or our supply chain that's limiting our ability to fulfill GeoMx demand at this time.
Dan Brennan: Great. Thank you. And then maybe as a follow up kind of a two part or one related to the competitive landscape. Obviously, it looks like you guys are achieving some really strong growth. So just wondering kind of what you're seeing on the frontline there in terms of competition? And then b) you mentioned supply chain, that's been a concern you guys are kind of towards tail end of reporting season, but was there any impact at all that you had on supply chain issues either in the quarter as kind of baked into your guidance? Thanks.
Brad Gray: Thanks, Dan. So the second question first. No issues from a supply chain perspective that impact us during the quarter, and we do not foresee any limitations on our ability to fulfill demand based on the supply chain. The competitive landscape, I think, we feel increasingly confident in our competitive position and spatial biology. Within translational research, we remain, I think, the leader in – with GeoMx with not only its FFPE compatibility, but its automation, its ability to process large numbers of samples in short periods of time, the ability to focus the power of the system on regions of the tissue that translational researchers are focused on like the tissue microenvironment and, of course, our distinctive protein capability, which many translational researchers appreciate. So despite the fact that there is increasing competition out there, who have FFPE compatible products, we really haven't seen any slowdown or competitive impact from that at this stage. On the imager side, I really think the announcements today position CosMx as the imager to be. I mean, I think, we have market leading 1,000 plex RNA capability we've shown that we'll have 100 plex protein capability. We've shown that we're compatible with the most important tissue type, which is FFPE. I feel really good about our positioning relative to some of the other players, who will be bringing imagers to market around on the same time.
Dan Brennan: Great guys, thank you.
Operator: Your next question comes from the line of Dan Arias from Stifel. Your line is now open.
Dan Arias: Good afternoon guys. Thanks. Brad, just to go back to the question on nCounter performance, I understand the point on business, not looking like it's going to competitive platforms, but what about just work that's staying inside NanoString, but it's going to GeoMx discovery work that just happened to have an NGS backend. Is that something that could be in the mix?
Brad Gray: I think your question really Dan is asking, are we cannibalizing nCounter consumable sales with GeoMx consumable sales? Is that your question Dan?
Dan Arias: More or less, yes.
Brad Gray: Yes. No, I don't think there is any reason to believe that's the case because -- and I think we can see that because we know what our GeoMx pull-through is within our biopharma accounts. And biopharma accounts have been relatively slower adopters of the Whole Transcriptome Atlas assay compared to academic researchers. And so, we have not – if that's – if we were seeing cannibalization, we'd be seeing that directly in terms of who was buying the Whole Transcriptome Atlas. And that's really not what we're seeing. In fact, if you looked at GeoMx consumable pull-through within biopharma customers, right now it's less than we were seeing on the average academic accounts, which kind of corroborates the fact that biomarker research is a little slower than you'd expect it to be and I think it disproves the hypothesis that we're seeing at cannibalization effect.
Dan Arias: Okay. And then maybe on the CosMx system and the data that you released today, imagine you're hoping that that sort of steps up interest in the platform. I know commercialization is the second half of 2022 thing, but when do you expect to start taking orders there as we sort of look ahead to getting the instrument in the market? Are there any production constraints that we should sort of think about when you get to the back half of the year, not necessarily supply constraints, more just manufacturing?
Brad Gray: Sure. So we're following the GeoMx playbook in the launch of the CosMx. And as you may recall, we had a really successful Priority Site program for GeoMx that took pre-orders ahead of the actual commercial shipments. That is something that we'll begin to initiate in the first half of next year. And the data that we released I expect will start to build the interest in that program, which we'll be unveiling probably around the AGBT timeframe next year. Certainly by the time we can do the second half of next year and we're shipping our first wave of instruments, I do expect that there will be a very careful rollout of those instruments just as we did with GeoMx where we're of course going to be having the first instruments rolling off a new manufacturing line. We'll be going through our first training procedures. We'll be going through our first customer experiences with the instruments in their hand at scale. So, we will have a controlled release of the actual system. And as a result to the extent you're updating your 2022 models I would not build much in the way of CosMx revenue into the second half of 2022, the pace at which we'll actually be placing instruments and revenue recognizes then will be controlled. Then we'll have more to say about that in the February timeframe when we issue guidance.
Dan Arias: Okay. Thank you.
Operator: Your next question comes to the line of Catherine Schulte from Baird. Your line is now open.
Catherine Schulte: Hi, guys. Thanks for the questions. I guess first maybe just sticking on CosMx, you know, what additional development or optimization is there left to do from a platform perspective before next year's launch? And at this Spatial Summit at AGBT, should we expect to get pricing and pull-through estimates there?
Brad Gray: Yes, so the work that we have left to do Catherine is really focused on the instrumentation and making it an overall bulletproof experience for customers that means making it simple to use, so that it works every time. And that the data that comes out has the software and informatics back in to allow you to draw insights out of the data you're generating. And that's – and so that's a good bit of engineering work, and it's a good bit of software work for us still to do. But none of it is high risk in the sense that we have to do anything inventive. It's just good solid engineering work. In terms of what to expect at the spatial summit in the February timeframe at AGBT, yes, I think we'll be focused primarily on continue to educate the research customer community about the capabilities of the system, so expect to see some of our early technology access program customers present their data and their experience expect to learn a little bit more about the detailed specifications of the system. I don't know that we'll be focused on providing much in the way of economic or financial guidance to Wall Street at that time in terms of pricing or pull-through estimates, but if you really want to understand what the system can do and why we think it will be the market leader and what will undoubtedly be a competitive imager marketplace then I think you'll get a chance to really see that there.
Catherine Schulte: Okay, great. And then I think you added about 100 people to your commercial team this year and believe most of those are focused on GeoMx for now. Have you started to see the impact from that added head count? And how do you think that expanded team sets you up for GeoMx growth in 2022?
Brad Gray: Yes, so we have -- our hiring for our commercial expansion has gone well. The overall team today is about a third larger than it was at the beginning of the year and we still have some positions still to fulfill. I think we've fulfilled about 85% of our open commercial positions at this time. We – it takes time for new sales reps to come up the curve and begin to contribute. So I would not say that the third quarter reflects any impact – any material impact from that sales force expansion yet. Most of the hiring was done in the second quarter. And people really found – were kind of finding their sea legs during the third quarter. I hope that the fourth quarter will provide an opportunity for some of those new professionals to – here at NanoString to show us what they can do and what they can deliver, and I think we've built some of that into the guidance that you heard, Tom outlined.
Catherine Schulte: Okay, great. Thank you
Operator: [Operator Instructions] Your next question comes from the line of Tejas Savant of Morgan Stanley. Your line is open.
Edmund Debler: Hi, guys. Thanks for taking the question. This is Edmund on for Tejas. First on your WTA, the traction seems to be really strong for the human and – both human and mouse WTA, but are you seeing customers transitioning from an initial pilot study phase to larger scaled experiments? And given that there has been a couple of months with this product on the market? Are you better able to quantify what you expect the utilization rates would be at a steady state?
Brad Gray: Thanks for the question, Edmund. So, most customers are getting their first experience for the Whole Transcriptome Atlas right now as we speak. As I mentioned in my prepared remarks, I think about half of our WTA customers have done their first experiment and now ordered their second batch of Whole Transcriptome Atlas assays. So we are beginning to see a repeat utilization, but it's still pretty early in the adoption cycle. I know we have at least one example of our – of a study planned at substantial scale on WTA, but I think there is a lot more of that still to come. I think there will be more of that as time goes on. In terms of utilization rates, we did raise during our August call our overall consumable guidance on the strength of the early demand for Whole Transcriptome Atlas assays. Our guidance right now is from $95,000 to $100,000 per system per year in consumable utilization. That is up materially both from where it was this time last year and where it was in our initial guidance that we initiated with earlier this year. So I would continue to use that number for now. I think that's a good number to model off of.
Edmund Debler: All right, thank you. And then in terms of your COVID recovery trends that you're seeing, I know you've previously called out slower recovery in EU and APAC regions, particularly since you rely on distributors. Can you talk about some of the trends you're seeing from a geographic perspective? And then in terms of the sample collection and slower biomarker biopharma utilization of nCounter, is there a geographic discrepancy that you're seeing?
Brad Gray: Yes, our biopharma customers really operate as global entities, right. Swiss biopharma companies have huge U.S. operations and U.S. biopharma companies have big European operations. So we don't really see geographic trends within our biopharma customer segment. They tend to behave kind of as a global segment. Academics though do vary from region to region. I'd say the strongest performance amongst our academic researchers and the strongest recovery has been here in North America, but both Europe and Asia have improved since our August call. They have – we did see improvement in the academic markets, ex-U.S. from Q2 to Q3, but really with that biopharma group, who has helped – has kept us from fully realizing pre-pandemic recovery.
Edmund Debler: Got it, got it. And on your academic end market in light of the robust academic funding environment, are you expecting any sort of abnormal fourth quarter budget flush or a seasonality of any sort?
Brad Gray: Well, we do see seasonality every fourth quarter as people tend to use budget that they may have left over before the year-end deadline. But we do not guide for a major budget flush in the fourth quarter. So, I'd say that our fourth quarter guidance assumes just a typical pattern of seasonality in the fourth quarter, but nothing extraordinary.
Edmund Debler: Got it. Thank you very much.
Operator: There are no further questions at this time. I would now like to turn the conference back over to Doug Farrell.
Doug Farrell: Excellent. Thank you very much for joining us today. If you did miss any portion of the call, there will be a replay available in the next hour or two. To access that please dial 800-585-8367, international callers please use 416-621-4642. The conference ID number for both is the same, 2826727. Thank you again for your time and have a great day.
Operator: Goodbye. This concludes today's conference call. Thank you for participating and have a wonderful day. You may all disconnect.